Operator: Good morning. My name is Adam, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lundin Mining Q1 2016 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. I will now turn the call over to Paul Conibear, President and CEO of Lundin Mining. You may begin.
Paul Conibear: Thanks very much, operator, and thank very everybody for attending our first quarter earnings call. As we will have some forward-looking statements obviously, we’ve got a cautionary statement here at the beginning of our presentation. At the end of the presentation, we’ll go into Q&A, and assisting me with responding to your questions are Marie Inkster, our Senior Vice President and Chief Financial Officer, and Peter Quinn, our Chief Operating Officer. First quarter, we’re very pleased with excellent results due to production optimization and continued spending restraint measures. We’re definitely on track to meet or improve upon and exceed full year guidance at all of our operations. I think of note, safety performance for our first quarter was an all-time record for our company and that I think is reflective of the good operational improvements that we made, and safe operations are usually profitable ones. On copper, Candelaria outperformed the full-year guidance on both copper production and cash operating costs. The copper production at Neves-Corvo met expectations and the cash costs outperformed on a full year guidance basis. Nickel production at Eagle was better than planned and cash costs were significantly better than our full year outlook, and production of zinc at Neves-Corvo also met expectations. Zinkgruvan zinc production was at a near record level on higher tonnages and very good grades, in particular on lead, and our cash costs were better than our full year guidance. Over 50% of our sales were from Candelaria and very good contributions also coming from Neves-Corvo, Eagle, and Zinkgruvan. 70% of our sales were derived from copper, which we’d expect to be the norm moving forwards. Turn it over to Marie with a few financial highlights.
Marie Inkster: Thank you, Paul. So looking at our operating earnings compared to the same quarter of last year, this (inaudible) shows which I’m sure is no surprise to anyone, that the lower metal prices and price adjustments are the significant driver of the decline. We also have a volume impact here, mainly related to sales at Candelaria, where copper sales were about 9,000 less than the same quarter of last year. So those two main factors from the last slide, the volume and price, being the key drivers in the decrease in the operating earnings compared to last year. Here you see that price impact and the effect that it had on the revenue as well. Copper down 12%, nickel down 39%, and zinc 9%, compared to the same quarter in the previous year. So as a result, our revenues were 162 million less than the same quarter of last year. Despite the price environment and the negative effects of the settlement payments to customers, the operations did generate 43 million in operating cash flows for the quarter, which was a good result. The normalized earnings is a simple picture this quarter. There’s not much noise in these numbers. As usual, we take out the effects of the ForEx swings in income. We have a very small mark to market, and then the tax effect on those items. The one item that is new this quarter is the valuation allowance against the tax losses at Eagle. Normally we would apply a tax effect to the losses and have a recovery to be realized in future periods as we offset the future taxes with the losses, however with our current price decks and life of mine, we are assuming we would not generate enough future income to use all of the tax losses we have accumulated on the books for Eagle. So this could change in the future, with a change in our assumptions either on the pricing or the life of mine plan. So if we’re successful at extending mine life or improving on the existing life of mine plan, then we would have to reassess this and it could be brought into the books in the future period. The balance sheet remained strong. We have ample liquidity, our credit facility is undrawn, and as you may have noticed for the people who went through the MD&A, our Q1 forecast prices are $2.10 copper, $0.75 zinc, and $0.75 lead, and under these assumptions, our credit facility will remain undrawn and our net debt position will improve over the year. And with that, Paul, I’ll hand it back to you.
Paul Conibear: Thanks, Marie. As I mentioned we’ve started the year really well at all of the operations and consequently Candelaria copper production guidance has been increased to reflect that higher throughput over the first quarter and improved production expectations for the balance of the year. Our cash cost guidance at Candelaria, Eagle, and Neves-Corvo has been improved, lowered to reflect byproduct metal price improvements and the results of some good cost saving initiatives by the teams at the sites. On capital expenditure, we maintain our guidance of $220 million US CapEx for the year. Similarly our exploration spend, we maintain the guidance of 40 million for the year. I think a few highlights in regards to CapEx spend. We’re actually trending under year-to-date on CapEx, but we’ve been pretty rigorous in deferring discretionary sustaining capital into 2017, 2018. But if we have improved metal prices, where we are or better than where we are today, we’ll probably pull a bit of that back forwards here just to manage risk of future production. Exploration progress has been excellent year-to-date and in particular Eagle East which I’ll talk about in a little bit, and if we continue to have success there, we may increase the spend based on results. But I think the big milestone for Q1 is we have done a complete update of our capital cost forecast for the Candelaria Los Diques new tailings facility. The original estimate that we put out to the market last year was in its early days of us owning the asset, design development was still progressing. We did not yet have the EAA approving the thing. So when we got the EIA approval it clarified some of the technical details. We’ve updated our CapEx estimates. We’ve also gone with owner perform on a lot of the work, and obviously the weaker Chilean peso contributing to an under- run. So we’re looking at under-running this overall $325 million project by 75 million. So our current forecast of spend to complete in 2016, ‘17, and ‘18 is now at 250 million. So a pretty good result there, and take away from that 250, the 25 million we spent in Q1. If you go to the MD&A, I believe there’s a bit of a breakdown for the analysts on the remaining spend broken out between ‘17 and 2018. Turning to comments on each of the operations; starting, obviously with Candelaria, the copper production of 33,000 tons which is our share, 80% basis, and the cash operating costs C1 of $1.22 was better than we expected, because of the good start to the year and from some improved optimized pit planning and underground mine planning, we have been able to improve our guidance. As I mentioned Los Diques coming in under budget. Another milestone, just recently in early April, we had applied to Sernageomin and DGA, the two regulators involved in regulating existing dams to increase the capacity of the existing Candelaria tailings dam, and Sernageomin did approve that freeboard reduction in early April. We’re waiting for DGA, which we believe will just be a matter of course. And on the new dam, we continue to work through the process of getting those final dam permits. We would not expect them in Q3. I do note though, that the regional regulators have been on strike for a couple months here, so there’s a lot of construction permits delayed across the board for all businesses there. So we’re hoping that will get settled soon and allow us to advance with the big dam in Q3. Another highlight of quite a bit of effort went in in Q1 into advancing conceptual studies at Candelaria. We’ve got more than a dozen different options that we’re considering to try to increase underground production into the main mill. Currently we’re mining out of three of the underground deposits out of five, and with Susana and Damiana and the additional drilling results that we’re getting from the existing three deposits, we think there’s some potential upside to double or triple underground production in the fullness of time to feed the mill with better grades. So these are studies that we’re progressing with at conceptual level, and we hope to have some results of those by the end of this year, which help to improve our overall life of mine plan. We are expecting with the optimized pit planning that Peter’s team’s doing at site and this underground drilling and conceptual studies that we’ll have a new life of mine plan towards year end, which has improved from the current basis for Candelaria. Looking at Eagle, we had a great start of the year with Eagle. You can see that we did 6,000 tons of nickel and 6,000 tons of copper in concentrate, better than expected in particular on the copper. The copper is credited against the nickel in the C1 calculation, so you can see that we have come in significantly under our original guidance of $1.61 in Q1, and consequently we’ve improved our guidance back to the $2 range for Eagle for the year. Highlights at Eagle aside from good steady production is the advancements that we’re making in drilling Eagle East. We continue to be quite excited about what we’re hitting there with high grade down deep at a couple kilometers away. We’ve got seven rigs on the property now, five of those are doing infill drilling on the Eagle East deposit, one is doing step-out drilling and deep drilling down the feeder pipe to see if we can pick up some more on Eagle East, and the seventh rig is drilling new targets. We have actually completed an internal scoping study on Eagle East and that’ll be evolving into preliminary economic assessment, which we hope to be able to issue the results of in parallel to the Maiden inferred resource prior to midyear this year. So we’re quite encouraged by what we’re getting there with high grade discovery on Eagle East. This should enhance, I think in the fullness of time, the production profile and life of mine at Eagle. Neves-Corvo, a very steady quarter, I think we have achieved the best cost in a euro basis through the mill that I’ve seen in five years, about $46 dollars euro per ton milled, where this mine used to be at 52 to 55 euros per ton. So the operating team I think has really made some great improvements there. Our zinc production and recovery is very stable. Consequently, we’ve been able to improve our cash cost guidance for the year down to $1.48 for the first quarter and guided to $1.60 for the year, and that may be a bit on the conservative side if we continue with the performance that we’ve had year-to-date. We are progressing with the permitting initiative on potentially doubling zinc production at Neves-Corvo with the zinc expansion initiative we have there, and we hope to have some results on the permitting process to announce positively by year end. I wouldn’t expect that we’ll approve the full CapEx on the zinc expansion this year. We’re waiting for I think a better, more stable zinc price environment. But that is starting to improve and encouraging us to focus more on this. Zinkgruvan, as I mentioned, had near record level production, 23,000 tons of zinc, which is a really good outcome from this mine. We had lots of lead production, that all contributed to a better-than-expected C1 for Q1, $0.36 per pound. We had put a low capital intensity 10% expansion on kind of go-slow mode over the last couple quarters, as we watch the volatility in metal prices. But we do see zinc improving and continuing to improve as the year goes by here on a pricing basis. So we’ve remobilized the $16 million brownfield expansion to modernize the front end of Zinkgruvan, and we hope to have that commissioned in the first half of next year, and that will improve zinc production by 10% at the mine. Tenke Fungurume, again a very steady quarter, pretty much results as expected in tons and grades and recoveries. Weaker cobalt prices in the quarter affected the C1, came in at $1.31. Cash distributions were pretty minimal in Q1, but that was expected as Freeport completed the second big sulfuric acid plant there. That’s now in operation. It was completed ahead of schedule and under budget, so very good execution there, and I think we should see some improvements in cash flow significantly quarter-by-quarter here, as the operation gets a benefit from that asset plant, I think as metal prices improve slowly as the year goes by. Freeport advised us a few days ago of an improvement in the expected distributions to Lundin Mining from Tenke, and so we’ve upped our guidance from 30 million to 40 million, it’s now 50 million to 60 million cash expected back from this equity investment for the year. That concludes an update of our Q1 performance and our outlook for the balance of the year, and I’ll be pleased to turn it over to the operator and take whatever questions you have. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Alain Gabriel from Morgan Stanley. Your line is open. 
Alain Gabriel: Just two quick questions from my end, firstly on the Candelaria underground, from what you’ve seen so far Paul, do you expect the update to entail just an update of the grades or do you think it will involve a scope increase or an upgrade of the facilities to increase the volumes that way? And the second question I have is on the Temec which doesn’t seem to be going ahead anymore. What are the characteristics of any alternative that you might look for? Is it more of a producing mine or is it something for long-term optionally? 
Paul Conibear: Thanks, Alain, and maybe I’ll turn it over to Peter Quinn to talk about Candelaria underground and explain some of the options that we’ve got evolving there. We’re looking at more than a dozen different options there with the existing asset base we have. But go ahead, Peter, and then I’ll answer the Temec question after.
Peter Quinn: Okay. In regards to underground at Candelaria, as Paul commented we’re looking at multiple options there. Essentially it’s a volume increase across all three operating mines. Grades remain fairly consistent, as they have been historically and moving forward. Exploration drilling continues as a priority for us to ensure that we’ve got a long range mine planning capability. As a result of some of that, we may see some change of method to extraction from the underground operations. Also, some possibility with some other areas around the district which may hold some interest for us longer term with underground organic growth optimization.
Paul Conibear: Thanks, Peter. And on Temec, we’re obviously disappointed, we’ve been tracking that project for about three years and speaking to Freeport about our potential involvement for quite a while. Complex deal, I think we put forth a pretty compelling development plan there, but we got trumped by [Nepson], so we wish them good luck moving forwards there. I think frankly, Alain, the [coverage] have been bare here on quality opportunities in our space right now, and so we’ll focus on our own assets and the development opportunities that we have at Eagle with Eagle East, Candelaria that Peter just explained, and the Neves-Corvo expansion. And there’s, I think some surprises that’ll continue to come in our industry of assets coming out that are currently not on the radar screen. So we’ll buy our time, continue to improve our balance sheet, and I think to be in a better position than most to move if something new and special comes up.
Operator: Your next question comes from the line of Julian Beer from SEB. Your line is open. 
Julian Beer: Marie, quick question on the working capital and long-term inventory build in Q1. Could you give a little bit more detail on what that is, and if there’s any potential to see that reversing during the year?
Marie Inkster: Yes, we did have some addition to the working capital, and I think the outflow that you saw, there were some things netted in there that maybe weren’t as apparent, the main thing being our final settlement, so the Q1 cash [delay] for final settlement. Even though when you look at the MD&A, the previous price adjustments are only about 4 million, we actually paid customers about 28 million during the quarter on settlement of final sales. So that was one of the negatives that you would have seen come through. But also, it’s just timing of sales. We make a concerted effort at the end of quarters to make sure that we get as low inventories as possible, and it just worked out this quarter that we ended up shipping a lot in the month of March. So we do see seasonal changes in the working capital. So I would expect it to continue to have some swings.
Julian Beer: Okay. So there’s potential for some of that 60 million to be reversed out in the next quarter?
Marie Inkster: Yes, Q2 should be a good cash flowing quarter. We usually see a bit of a dip in Q3 and then Q4 is normally the strongest quarter. So if history repeats itself that would be the trend for the year.
Julian Beer: Okay, and then finally on that subject, I think you signaled that net debt had risen a little bit since the end of March. Was that also relating to a working capital build?
Marie Inkster: Yes, it swings. I mean, this week, for example, Neves-Corvo, they paid $10 payment on Tuesday. They’re getting $10 million of receipts tomorrow. Reverse the order of those two things and we’re exactly where we were at the end of the quarter. So there will be swings from time-to-time, but I wouldn’t take that decrease in the cash balance as any kind of signal at all.
Julian Beer: Okay, that’s great. We’ve seen it before and it’s always resolved. Thanks very much.
Operator: Your next question comes from the line of Orest Wowkodaw from Scotiabank. Your line is open. 
Orest Wowkodaw: Just wanted to drill down into some of the unit costs a little bit more, great costs in the first quarter. Just wondering specifically at Candelaria, you did about $1.22 in Q1. What do you think’s going to drive costs to go higher in the back half of the year or in the next three quarters to get to your revised annual guidance? Is it grade-related throughput? Just wondering kind of what the expectations are.
Paul Conibear: Yes. Maybe, Peter, do you want to respond to that, please?
Peter Quinn: Certainly, Candelaria first quarter what drove that cost profile there was over-performance in throughput in the mill. We had a spectacular start to the year. The mill ran at extremely high availabilities and material fee to the plant was a little softer than we forecasted, hence the high milling rates. As the year progressed, the ore is going to get harder, and that’ll slow down the milling rates, and hence the change in cost profile.
Orest Wowkodaw: And what kind of average grade are you expecting at Candelaria for the rest of the year?
Peter Quinn: Average grade will be very consistent with the guidance we’ve put out. We’re not seeing anything there that’s increasing or decreasing the grade. I think we have a very good handle on that for the rest of this year.
Orest Wowkodaw: So something similar to what we saw in Q1 from a grade perspective?
Peter Quinn: Yes.
Operator: Your next question comes from the line of Chris Welch from Pareto Securities. Your line is open. 
Chris Welch: Actually following up from Orest’s question there, a similar sort of question applied to the Eagle and Neves-Corvo. I just want to get a bit more input particularly on Neves. I mean, how you’ve been able to cut costs by about $0.50 per pound from the preceding quarter. And I’m basically just trying to work out where the efficiencies have come from, other than an improvement in byproduct grades.
Paul Conibear: I mean, it’s really across the board. We’ve had great effort on restraint. We were getting, take examples here, slightly lower power costs, reduced use of contractors, just more focus across the board on efficiencies at all the mines. So, a whole combination of things not any one particular item. And certainly when you take a look at Zinkgruvan, for instance, we had better than expected lead grade. So all these mines are polymetallics and byproducts, so when you look at C1s which is the primary measure that people give the byproduct credits were better than expected. That’s helped too.
Chris Welch: And just a quick follow-up, if I could, on Candelaria, I saw you’re sort of halfway there on getting the freeboard reduction at the current TSF. I mean, if you were to get the full permit to put more tailings in the existing facility, would you take the opportunity to (inaudible) some additional CapEx at Los Diques?
Paul Conibear: No, not a chance there, no. We would like to have the approvals already on the big dam, just to mitigate risk on the construction schedule. So we needed that final approval on the freeboard. We expect to get it from DGA soon, and we’re hoping to get the big damn permits in Q3. Now it’s unlikely to come through before then because of the strike that they’ve got. But there’ll be no change in our spend plan, and I think this $250 million and the breakdown that we have between ‘16, ‘17, and ‘18, more or less takes into account us ramping up on the big dam in Q3.
Operator: Your next question comes from the line of Stefan Ioannou from Haywood Securities. Your line is open. 
Stefan Ioannou: Most of my questions have been answered, but great to see the production guidance and improvement and the solid Q1. Just maybe a question out of sort of curiosity with regards to Temec, I know back when you guys first announced the purchase agreement with Freeport, you mentioned that the $262 million valuation was based on sort of NAV type of valuation metric, and since then Reservoir has tabled a $1.5 billion PEA. Just wondering was there a fundamental difference in sort of scope that you guys envisioned for the project or was it more just input parameters and metal prices or can you maybe just provide a bit of color on that?
Paul Conibear: Yes, Stefan. I think I’ll be a little careful how I answer that. I’ll just really speak to our own effort here. We are very confident in the development plan that we had there to put in a fit for purpose, high quality 80,000 or 100,000 ton per year copper operation. So we’re confident in the valuations that we had with the [stocks] of information for the asset at the time, and if we had to do it over again, we’d put in similar numbers. So I know that Reservoir came out with a different approach and dramatically different CapEx and OpEx. We’ll see what [Nepsom] does. It’s up to them moving it forwards.
Operator: Your next question comes from the line of Greg Barnes from TD Securities. Your line is open. 
Greg Barnes: Paul, I just want to go back again to the timing on the new dam at Candelaria, the freeboard situation at the old dam, and how the overlap between the old dam and the new dam, what kind of leeway do you have as things stand today?
Paul Conibear: Sure. Maybe, Peter, you know you’re closer to the action down there if you want to respond to that to Greg, please.
Peter Quinn: Yes, certainly. As a result of the strike situation in the Atacama region, that’s really put us maybe three months behind is what we’re thinking today. I mean that strike could be resolved at any stage, which obviously will improve that situation for us. The overlap would remain in the order of 6 to 8 months currently, with that change in schedule because of the strike.
Greg Barnes: Okay. Now, that (inaudible) that you’ll get the freeboard permitted on the old dam?
Peter Quinn: Yes, that’s critical that we get. We require that. 
Greg Barnes: So you don’t have any idea when that’s going to come through, given the strike that’s going on?
Peter Quinn: If you’re referring to the freeboard, we expect DGA to respond fairly promptly on that, now that Sernageomin has approved. In regards to the district permits from the regional government, it’s a little bit of an unknown now until we get this strike situation resolved.
Greg Barnes: Okay.
Paul Conibear: Greg, just for clarification there, the Sernageomin, which is the mines department, they’re primarily responsible for dam safety. They’re the ones that have approved the reduced freeboard, and DGA, the water department, that’s a federal approval, so it’s not affected by the strike.
Greg Barnes: Okay. Secondly, I just want to understand the CapEx profile at Candelaria as well. You’ve given us what the CapEx is going to be for the new dam. I’m just trying to understand what the sustaining capital over the next two to three years will be over and above that at the Candelaria itself.
Paul Conibear: Greg, our mine planning has been evolving quite a bit. We’ll come out later this year, I think with an update of the overall life of mine, which will include a refinement on the medium and long-term sustaining CapEx spend. Obviously, we’ve made some deferrals last year. We’ve made some more deferrals this year. I think the best that we can point you to right now is to go to the 43-101 report that we put out last September, and the aggregate sustaining CapEx spend over the five years still is the best numbers we have. So even though we’ve deferred some stuff last year and this year, the aggregate over five years needs to be spent. But with the improvements that Peter and Sergio’s guys are making in mine planning, I think the picture may change, may improve, but it’s going to take us I think the balance of the year to evolve those plans, and we’ll update guidance as soon as we can, but it’s going to be later this year, I think.
Greg Barnes: Okay. Just one final question Paul if I can on Neves-Corvo. The zinc expansion, is your thinking changing there at all or have you made any -- ?
Paul Conibear: No, not at all. We want to go ahead with that expansion. I think it’s a matter of timing. With the current government there, we’re going through the permitting process, which we hope is a due course thing. But it is a new government there, and we want to see how they respond in this permitting process. It’s critical path anyway, but as far as the fundamental size and approach and everything, no change there. Just it’ll be a matter of timing.
Operator: Your next question comes from the line of John Tumazos from John Tumazos Very Independent Research. Your line is open. 
John Tumazos: The Chilean peso has taken a quick move from 730 to about 666. Could you just refresh me as to what the assumptions are for your OpEx, CapEx budget, whether the exchange swing has an effect, how it might affect cost, etcetera, and also the local economy? I was buying blueberries from Chile at 730, but not available anymore.
Paul Conibear: Okay, John. I can’t respond on the blueberries, but I believe what we saw, and we became aware of this when we originally bid Candelaria is that the Chilean peso really moves very distinctly interlocked with copper price. So as the Chilean peso strengthens, which we expect it to do, that will be in line with copper price and revenues improving. So on the OpEx, we’ve kind of got a natural hedge that occurs there. On our big CapEx spend, that we have on Los Diques, we have actually protected that we took a conservative step Q3 or Q4 last year, and did some puts on the Chilean peso to protect 50% of the CapEx there. So I think as we see the Chilean peso starting to strengthen, clearly, we’re going to be happy that we had those puts in there. Marie, if you can maybe recap the assumptions or John on what our peso assumptions are right now?
Marie Inkster: Yeah, I can talk to both of those. Our peso assumption, it’s in the MD&A under the outlook section of 690. So our other currencies are there as well, along with our metal price assumptions for anyone to reference. On the CapEx spend on Los Diques, we’ve taken out options rather than forwards, and the options are, we’ve done 35 million worth of that spend for this year, and they expire monthly evenly throughout the year. That was at 650. Next year we’ve protected 90 million at 675, and in 2018 we’ve protected 35 million at 700, and that is for the - the forward curve is a little bit out of whack with where the peso actually seems to trade. It’s more based on interest rate differential than any kind of fundamentals or connected to copper price. So there’s a bit of a mismatch there in the forward curve for the peso. So I think that answers the question. And blueberries, I would suggest soon in July, get some Nova Scotia blueberries. It’s seasonal. I suspect the Chilean problem is a seasonal one.
Operator: Your next question comes from the line of Matthew Fields from Bank of America Merrill Lynch.
Matthew Fields: I just wanted to ask an annoying housekeeping question here. When you’re calculating EBITDA, should we be adjusting out the sort of amortization of deferred revenue related to the stream? In other words, are you adding in revenue to the sort of top line that’s sort of deferring the streaming obligation?
Marie Inkster: We don’t deduct for that, but you can if you’d like to and it’s disclosed in -- where are we? It’s disclosed in the notes to the financial statements as a deferred revenue note. I think it’s about $10 million for the quarter.
Matthew Fields: Right. The point is, is that 10 million of sort of “deferred revenue” added on and included in your topline revenue?
Marie Inkster: Yes, it is.
Matthew Fields: Okay. Thanks. And then for your credit agreement, do you get to keep that in there or do you have to adjust that out for your credit agreement EBITDA?
Marie Inkster: We don’t adjust that out.
Operator: Your next question comes from the line of Alex Terentiew from Raymond James. Your line is open. 
Alex Terentiew: I just wanted to circle back on the Candelaria, Los Diques, [Tem] and just maybe ask a question a different way here, when do you need the permits for the big dam to keep your production plans unchanged? And if you do need to change them, do you have the scope or the flexibility rather, to put more underground or through the mill, maybe perhaps reduce the amount of tailings being produced and keep output unchanged?
Paul Conibear: Yes, Alex. You know if we don’t have all these permits in hand and particularly for the big dam, if we don’t have it in hand by year-end, we’re going to be sweating to be honest, and there would be some impact on our production plan. I think that, frankly, if we came into that unlikely scenario, I think we just reduce overall production. We can’t because of the rigors of permitting, you can’t just go into an underground mine and just decide to double its production. Even if we had the development available to physically move a lot more ore, you know these are permitting process that we have to follow there which is rigorous. So we don’t have that flexibility to move higher grade underground ore at the volumes that would be meaningful. So if the existing dam gets full and the new dams not ready, it’s a curtailment of production. I just really don’t see that happening. We’re 35% of the GDP in the province there. We’ve got 4,000 people employed, and we’re confident these permits will come through in a timely manner. We have a couple contingency plans in our back pocket related to the existing dam, but we really don’t want to have to go ahead with them, they come with cost premiums.
Operator: There are no further questions at this time. I’ll turn the call back to the presenters.
Paul Conibear: Great. Well, thank you very much for everybody attending. We started out the year well, and look forward to speaking to you again in July at the end of Q2. Thank you.